Operator: Greetings, and welcome to Kornit Digital's Fourth Quarter and Full Year 2025 Earnings Conference Call. As a reminder, this call is being recorded. I would now like to turn the conference over to our host, Mr. Andy Backman, Chief Capital Markets Officer for Kornit Digital. Mr. Backman, you may begin.
Andrew Backman: Thank you, operator. Good day, everyone, and welcome to Kornit Digital's Fourth Quarter and Full Year 2025 Earnings Conference Call. Joining me today are Ronen Samuel, Kornit's Chief Executive Officer; and Assaf Zipori, our Chief Financial Officer. For today's call, Ronen will share his overall commentary on the fourth quarter and the full year, followed by Assaf, who will review our fourth quarter and full year 2025 results and provide guidance for the first quarter of 2026, before we open the call up for Q&A. Before we begin, I would like to remind you that forward-looking statements within the meaning of the U.S. securities laws will be made on this call. These forward-looking statements include, but are not limited to, statements relating to the company's plans, strategies, projected results of operations or financial condition and similar statements regarding the company's expectations for the future. The fulfillment of forward-looking statements is subject to known and unknown risks and uncertainties. I encourage you to review the company's filings with the Securities and Exchange Commission, including the company's annual report on Form 20-F filed with the SEC on March 28, 2025, which identifies specific risk factors that could cause actual results to differ materially. Any forward-looking statements are made currently and the company undertakes no obligation to publicly update them, except as required by law. Additionally, the company will be making reference to certain non-GAAP financial measurements on this call. The reconciliation of these non-GAAP measures to the most directly comparable GAAP measures can be found in the company's earnings release published today, which is also posted on the company's Investor Relations website. At this time, I would like to now turn the call over to Ronen. Ronen?
Ronen Samuel: Thank you, Andy. Good morning, everyone, and thank you for joining our Q4 and full year 2025 earnings call. Before I begin, I want to briefly welcome Assaf, who recently joined as the CFO and Andy, who returned to Kornit to lead our capital markets activities. Let me turn directly to our business performance. When we entered 2025, we set a clear and measurable targets for the year. We set up to move the company back to revenue growth while at the same time, transitioning the business towards a more recurring ARR model, a shift that naturally changes near-term revenue timing as we build stronger longer-term revenue foundation. We also committed to delivering positive EBITDA and generating positive cash flow from operations, all while capturing a meaningful share of bulk apparel production and driving impression growth across our installed base. I'm very pleased to share that we achieved all of these objectives. Q4 marked a solid finish to the year. Our customers had a successful peak season, reflected in a strong double-digit impression growth in Q4 year-over-year and 11% growth for the full year, reaching 243 million impressions. This growth was driven by higher utilization across our installed base and an increased adoption of digital production for the longer runs. We delivered Q4 revenues of $58.9 million and adjusted EBITDA of $5.5 million, both at the upper end of our guidance. We also generated approximately $11 million in operating cash flow in Q4 making our ninth consecutive quarter of positive operating cash generation. For the full year 2025, we moved back to growth, achieved positive adjusted EBITDA and generated strong operating cash flow of approximately $24 million. At the same time, we continued executing the transition towards a more recurring business model. We exited the year with approximately $25 million in ARR from AIC program. This ARR is typically supported by multiyear customer commitments usually around 5 years, providing strong revenue visibility and durability. In 2025, AIC contributed [ $15.2 ] million in revenues and continue to scale as adoption expands. Together, these results reflects disciplined execution and meaningful progress in building a more recurring, predictable business model. One of the most important drivers of this progress is the accelerating shift from screen production to digital. We clearly see a shift of impression into longer runs and incremental bulk apparel production moving to digital. Over 40% of our system deals in 2025, including Q4, came from net new customers, many of them traditional screen printers adopting digital production for the first time. For example, in Europe, top few in Poland, one of the leading screen printers in the region recently ordered an Apollo system for bulk apparel production under our AIC model. This represents a strategic move as they began transitioning part of their high-volume screen production to digital to improve flexibility, reduce labor dependency and respond faster to customer demand. In the U.S., midsized screen printers are adopting our Atlas MAX platform to replace screen production for the first time. Customers like Cedarstream, a U.S. apparel decoration company, focused on high-volume production and Real Thread, a U.S.-based custom apparel and merchandise producer serving brands, creators and e-commerce customers are moving bulk apparel impression to digital to gain speed, consistency and efficiency. At the same time, we are seeing clear expansion of bulk apparel impression from existing Kornit customers, reinforcing the strength of our value proposition and the business outcomes we deliver. For example, Zumiez, a specialty retailer of action sports-related apparel, added its second Apollo system in Q4 on top of an existing fleet of Atlas MAX PLUS systems to support higher volumes, faster replenishment and improve speed to market. 500 Level, a U.S. leader in licensed sports fan apparel and merchandise production, added an Apollo system on top of its Atlas MAX PLUS fleet under the AIC model to support licensed sport apparel production, improve automation and scale bulk and replenishment programs more efficiently. Basic Thinking, a leader U.K. screen apparel producer added a second Apollo system under the AIC program as its business continued to scale following its initial transition to digital. Together, these examples show a consistent pattern. Over 40% of our existing Apollo customers added a second system or more in 2025, reflecting strong ROI, meaningful improvements in availability, uptime and utilization across our Apollo installed base and growing confidence in digital for bulk and mid-run production. In parallel, our Atlas MAX family continues to gain traction among small and midsized screen printers taking the first step into digital production. We are also seeing encouraging momentum in our customized design segment with growth momentum returning across several of our key accounts. This momentum is driven by higher utilization of existing systems as well as customer adding capacity through upgrading to Atlas MAX PLUS and by deploying additional systems to support growing demand. A good example is MARUI in Japan, which expanded its production for adding a fleet of Atlas MAX PLUS systems to meet increasing demand for speed, quality and operational agility in one of the most advanced print on-demand markets globally. We are also pleased to share that our global strategic customer recently placed an order to continue upgrading its fleet to Atlas MAX platform, reinforcing the long-term confidence in our technology and partnership. This also reinforces the broader trend we are seeing across our customer base with continued investment in capacity as utilization and demand grow. Beyond apparel, we continue to see growth in impression and pipeline development in the sports and footwear market. We expect 2026 to be a stronger year for our roll-to-roll business, both in the footwear and technical and functional apparel segments, supported by new technologies and capabilities we plan to introduce later in the year that will further expand applications and drive future growth. We are entering 2026 with a growing pipeline of opportunities and much better visibility for the year. Today, more than 83% of our revenues are recurring or highly predictable. We expect low single-digit revenue growth in 2026, reflecting our deliberate decision to accelerate the transition towards the AIC model. Alongside this, we expect stronger profitability expansion and continued positive cash flow from operations, while ARR continues to grow through additional AIC system deployments. As more customers move to AIC, our recurring revenue base growth, enhancing visibility and strengthening the long-term scalability of our business. Our priorities remain clear. We will continue driving incremental impressions from the screen market, expanding the AIC program and delivering on our innovation road map to support growth beyond 2026. Before we close, I would like to personally invite you to join us at our connection event in Miami on April 12 to 14. This will be an opportunity to experience firsthand the progress we are making across screen, AIC, DTG and roll-to-roll. You will meet hundreds of customers from around the world and see live demonstrations of the latest technology shaping the future of our industry. During the event, we will unveil breakthrough innovations designed to expand our addressable market, accelerate digital adoption and enable our customers to capture new growth opportunities. Connection is where strategy meet execution and where the shift towards digital on-demand production becomes tangible. We look forward to seeing many of you there. I will now turn the call over to Assaf to further discuss our fourth quarter and full year results and our guidance for the first quarter. Assaf?
Assaf Zipori: Thank you, Ronen, and good day, everyone. I am excited to be joining Kornit at such an important moment in the company's journey. Over the past few months, I've had the opportunity to engage closely with customers, investors and the leadership team, gathering direct feedback on our strategy and execution, which reinforces my conviction in the company's direction and opportunity ahead. Turning to our results. Total revenue for the fourth quarter were $58.9 million, well within our guidance. Our revenue mix reflects the strategic shift in our business. AIC revenue grew 104% year-over-year. We ended the quarter with $24.8 million in ARR. Impressions, a strong leading indicator of system utilization and consumption grew at a strong double-digit rate for the quarter. For the full year 2025, total revenue was $208.2 million, up 2% year-over-year, driven by continued expansion of our AIC program. AIC revenue increased to $15.2 (sic) [ $15.0 ] million from $3.3 million last year, strengthening the quality of our revenue through predictability, higher system utilization and deeper customer engagement. Moving to margins. Fourth quarter non-GAAP gross margin was 50.7% compared with 55.1% in Q4 '24, reflecting in part changes in product mix and the impact of tariffs. Similarly, for the full year '25, non-GAAP gross margin was 47.2% compared with 48.6% last year. Long term, we expect annual gross margins to expand as AIC continues to scale. Turning to operating expenses. Fourth quarter non-GAAP operating expenses were $27.1 million, down 3.1% year-over-year and included an unfavorable $1.1 million impact from FX. For the full year '25, non-GAAP operating expenses were $107.1 million, down 2.5% year-over-year, again, including an unfavorable $2.6 million impact from FX. Our OpEx improvement is a reflection of our commitment to remain disciplined with costs while continuing to invest in the company's growth initiatives. Adjusted EBITDA for the fourth quarter was $5.5 million, compared with $8.4 million in the same period last year. Adjusted EBITDA margin for the fourth quarter was [ 9.3% ] compared to 13.8% in 2024. For the full year 2025, adjusted EBITDA was $1.5 million compared with $0.3 million last year. On a constant currency basis, adjusted EBITDA margin was 11.5% and 1.9% for the fourth quarter and full year 2025, respectively. Turning to cash and the balance sheet. Our cash balance, including bank deposits and marketable securities at quarter end was approximately $491.2 million. Operating cash flow for the fourth quarter was $10.6 million and [ $24.4 ] million for the full year 2025, reflecting continued focus on improving working capital. During 2025, we repurchased $27 million under our share purchase program, including $2 million under the new $100 million program we announced in November '25. Since our first program was announced in 2023 and through the fourth quarter of 2025, we have repurchased a total of 6.9 million shares for a total gross amount of approximately $167 million. We enter 2026 with a solid balance sheet that has sufficient capacity to fund organic growth, including AIC deployments and new product innovations. We will also continue to evaluate inorganic opportunities that align with our strategy. Turning to guidance. For the first quarter of 2026, we expect revenue of $45 million to $49 million and an adjusted EBITDA margin between negative 10% and negative 4%. As a reminder, our business is seasonal with adjusted EBITDA margin typically negative in the first half of the year. As the year progresses, we anticipate improvement in both revenue and margins, supported by increased utilization in the later part of the year and continued operational efficiency gains. 2026 will be a year of focused execution as we translate our strategy, innovation and business model into tangible financial and operational results. We expect low single-digit revenue growth, improved profitability and a positive operating cash flow. With that, I will now turn the call back to Ronen to open it up for Q&A.
Ronen Samuel: Thank you, Assaf. Operator, we are ready for the Q&A session.
Operator: [Operator Instructions] The first question is from Greg Palm from Craig-Hallum.
Greg Palm: I wanted to start with a little bit of color on peak season run. I think you talked -- you gave us impression growth double digits, but just can you give us a little bit more color on how it went and specifically performance of Apollo?
Ronen Samuel: Yes. Thank you, Greg. So first of all, on the peak season, it indeed was a strong peak season for our customer. And the best indicator for a strong peak season is impression growth. And impression growth for Q4 was a very strong double digit. And specifically, it closed a year of -- when we're looking at 12 months for the full year is 11% growth of impression. Now when we are looking from where is it coming, those nice growth of impression, it's coming from 3 main areas. One, we see major growth coming from customers that actually on the AIC program. We see utilization on this program or those systems relative high versus machines that on CapEx. So major growth is coming from the AIC on impression. The second thing is the major growth is coming from the screen market. We start to see a shift of long run, bulk apparel coming into Kornit systems. And there, we see a really nice growth of impression. And the fourth growth is connected to your question is about the Apollo. And Apollo is really a machine or systems that are driving really high volume. We had a very strong peak season for our customers leveraging the Apollo. We worked very hard and what we found out that in Q4, when it was the peak, the uptime of the system more than 90% across the board. So very high utilization, very high stability of the system. Customer satisfaction is super, super high on the Apollo. Actually, in 2025, 40% of the existing customers that's using Apollo order a second machine or more on the Apollo. We can see many newcomers, new screen printers, big size screen printers are taking for the first time a Kornit and specifically the Apollo. And Apollo is where we see, as I mentioned before, the long run. So we see customers running on the Apollo 500 copies, but also 5,000 copies. So it's fantastic. And of course, there are customers that are also using the Apollo for very short for one-off, but we see more and more longer run coming for the Apollo. Other than that, what I recommend for all of you is to come to Connection. As I mentioned, in the Connection, we are going to demonstrate also the Apollo, and there will be some game changer applications and additional capabilities on Apollo that we will show for the first time at Connection. Apollo by itself is a game changer for the industry.
Greg Palm: Okay. Look forward to that event. As you look back on 2025, and what do you view as the most major accomplishments? I know it's a pretty busy year on a lot of fronts, but talk to us about that? And how does that guide some of your priorities this year and beyond?
Ronen Samuel: Well, so 2025 was very busy, as you mentioned. It was a transition year, but it's a year that when we're looking back, it's a year that we flip the page. We are a different company right now. When we started 2025, we set clear targets, very measurable targets, and we deliver on them. I will start saying a few of those targets and what we have achieved. First of all, we moved back to growth. So finally, we are growing. And this growth is coming in parallel in transition of the business model into more recurring model through the ARR and AIC, which is really gaining traction, which, as you know, moving to this model has some short-term impact but has a major positive long-term or midterm long-term impact to the business. We ended the year with significant ARR of approximately $25 million of ARR. For the full year, we recognized $15 million of AIC. This is a growth versus 2024 from $3 million to $15 million, more than 300% growth. And those ARR and AIC or ARR contracts, you need to remember that our multiyear contract with our customers. So traditionally most of those contracts are 5 years contract, which provides predictability, consistency and stability to our business. Also, we delivered positive EBITDA, which is super important. We generate very healthy cash from operations for the full year and also for Q4. And the main focus of which I also discussed on my prepared remarks is really penetrating the screen market. And I would say that we ended the year with really penetrating some key customers in the screen market. We start to see a real shift of major screen printer into digital, leveraging our technology. And today, we are in a position that we have lighthouse almost all around the world, and we are starting to [indiscernible] with biggest opportunity in front of Kornit is really in the screen market, and we feel that now we can start to scale on top of that. And the screen is really where the long run and the impression is being driven. I talked about the impression for the full year, we grew 11%, but we saw it from better utilization of the systems of our installed base, which is very important. We can see some of our key customers that now needs more capacity or they are upgrading into Atlas MAX PLUS or adding additional system, which is a very, very strong signal. In Apollo, as I mentioned before, this is a major milestone that we have achieved to see the stability to see that customers are buying the second and third and even more systems. This is really, really encouraging. 40% of the customers that we acquired in 2025 were net new customers, and each one of them has a potential to add additional capacity. So those are the main achievement, I would say, that we are entering 2026 with much better visibility, predictability, almost 83% of our revenue for 2026 is a recurring or reoccurring revenue. So we feel very confident getting into 2026.
Greg Palm: Okay. That's great. And I guess last one before I hand it off. How should we think about the system placements this year versus last just in light of this continued, I think you said accelerated shift towards AIC. I mean I assume volumes -- unit volumes will be up probably quite a bit. So I'm not looking for specifics, but just a little bit of color on how we should think about that dynamic.
Ronen Samuel: Yes. This is a very good question because what you see is the product and you compare products on CapEx and you don't see the products that we are shipping on AIC. Overall, the number of systems that we've delivered in 2025 was higher than 2024. So we are delivering more systems to the field. But even more importantly, that we are delivering more capacity because we are selling more high-end products to the market, which is system can generate more volume. So those are very strong indication for the future, more systems, more capacity, which will generate more revenue coming from in services and AIC.
Operator: The next question is from Brian Drab from William Blair.
Brian Drab: Congrats on a good quarter. And Andy and Assaf, nice to connect with you again. Can you talk, Ronen, a little bit about the low single-digit forecast? And you have -- in the past, you've given us a good bridge kind of breaking down the business into the components of the consumables, services and upgrades, et cetera. And can you help us bridge from 2025 revenue to 2026 forecast, also kind of incorporating what you're expecting from that Amazon upgrade order that you mentioned?
Ronen Samuel: Yes. So first of all, we are very pleased with the decision of our global strategic customers to continue to grow with us. It shows the confidence in the technology in our partnerships moving forward. It's something that we anticipated, hope to get, and we received it definitely will have some impact on the 2026 in terms of growth of revenue. But we need to remember, we are in the beginning of the year. We would like to be very prudent about what we are saying to the market at this stage. While we have much better visibility and predictability for 2026, we are really continue to push more into the AIC ARR revenue. So whenever we can move customers and deals into this model, this is where we are motivating our team to go and the customer, to show the customers the value in the ARR, which means that there is some impact in the short term in order to build the long-term quality of the revenue and predictability. We are focusing on lot in 2026 on improvement of the profitability. So you will see expansion on the profitability. We will continue to focus on penetrating the screen market, growing the ARR drastically. This is the focus of 2026. And you will see a lot of innovation as well coming in 2026 that will start contributing for the second half of 2026. So I understand the question of guiding the market into low single digits. Remember, we would like to be prudent. We would like to be in a position that we are in a good size and not missing our numbers.
Brian Drab: Okay. Can you talk at all about the significance of an order from your strategic customer for the upgrades? I mean how many machines roughly we're talking about? Is that substantial? And how will that progress throughout 2026? Is it all in 1 quarter? Is it throughout the year?
Ronen Samuel: Yes. So I would start to say we have a very close relationship, very strategic relationship, and we are very proud of this partnership between us working very, very close together. As you can imagine, I cannot disclose any sensitive information of this strategic customer or any customer without getting that permission and I don't have the permission to share this information. What I can say is that after last year, we started the initial upgrade in part of the portfolio. It was very successful. They saw the benefit and they placed an order for continue upgrading it during 2026. These updates will take time. It's not one quarter, it's a few quarters because we're talking about a fleet of upgrades. Again, it shows the confidence in the solution. It shows that they need to grow the main benefit of the MAX really providing more capacity and they need more capacity to grow, which is a very good sign. And of course, we continue to evaluate together a new technology into the future.
Operator: The next question is from Erik Woodring from Morgan Stanley.
Erik Woodring: Congrats on the solid execution to end the year here. Ronen, I would love for you to maybe help us understand where the Apollo story stands today. It's taken a few turns -- it took a few turns in 2025. Obviously, starting the year, I think we learned about the longer sales cycles with new customers. As we sit here today, what have you learned about the time to onboard and ramp these new customers to make sure that you can kind of maintain momentum in this product into 2026? And are these new customers using Apollo any differently than existing customers? Like if you have any cohort observations, I'd love to better understand that. And then a quick follow-up for Assaf, please.
Ronen Samuel: Okay. Excellent question. Look, remember that we started actually deploying the Apollo in 2024. 2024 was after the beta. And in the beginning, we actually deployed the Apollo mainly into existing customers, those that used to run digital, they have the ATLAS MAX and they have the digital workflow. And the deployment was quite easy. Of course, we had to continue to improve the stability and the productivity, but we grew quite quickly in 2024 with those customers. But the aim of the Apollo was to go after an incremental market, not only in the one-off customer design, but really going after the screen and replace the screen analog technologies. And this was the focus 2025. And what we have achieved in 2025, while 2024 was focused on a few customers with large fleet of Apollo, 2025 was focused on net new customers from the screen printers or penetrating for the first time with digital and taking the Apollo. And what we found out that the sales cycle is different. It's much easier to penetrate digital player because they have the workflow, they have the understanding, they already has the need with the screen market, you need to show them the need. You need to show them that the quality at least as good as screen market. You need to work with them on the workflow, you need to train them. It's a different mindset. Many of them are traditional. So we worked very hard in 2025 to start building lighthouses. And within 2025, we already saw few of them going with the second Apollo or taking a fleet of Apollo and ATLAS MAX together, and we started to see successes. And what we see right now in all kinds of open houses that we have in those customers that they're becoming a lighthouse and they are telling the story to other screen printers, how it changed their business and what benefit it provides them, and it wasn't too complex. So we've learned a lot. We've learned the type of quality that they expect, the type of productivity that they expect, the different garments that they would like to run. We're focusing a lot on the workflow, how do we automate their workflow versus digital players are coming already with workflows are designed for digital. So you will see some innovation on the workflow side as connection events, specifically addressing the screen market in order to make it easier for them and to shorten the sales cycle of penetrating and growing the screen market.
Erik Woodring: Okay. Awesome. And then Assaf, nice to, I guess, reach over the phone here. But I'd love to get your insights just at a high level of how we see better profitability in 2026? Obviously, you gave us what you think about revenue growth, but how should we be thinking about gross margins given AIC mix improves, that's higher profitability, ink and consumables growth should seemingly follow impressions at least somewhat. And then what's the approach to expenses this year? I'd just love to understand the moving pieces there.
Assaf Zipori: Yes. Erik, thanks for the question. So I would say that our biggest growth driver is AIC. AIC has accretive gross margin to the overall company. And as it scales further, you should expect to see expansion continues. With that, we have a very disciplined approach towards expenses and adjusting the expenses in line with our growth rates as we look into 2026. In '26, I would not expect to see significant deviation for our gross margins as AIC continues to scale. So you should expect reasonable levels as you're seeing now. In terms of OpEx, we are also not expecting any significant changes in OpEx for as long as we continue to grow as we expect. We remain very disciplined in our approach and in the way that we evaluate the impact of tariffs, the impact of foreign exchange and so on.
Operator: Next question is from Troy Jensen from Lake Street Capital Markets.
Troy Jensen: It's actually Cantor Fitzgerald now, but gentleman, congrats on the great quarter and Assaf and Andy, nice working with you guys again. Quick, maybe just, Ronen, for you. Just looking back to that '25, can you just talk about the overall market? Do you think the industry is stagnant, you guys maintained share? Or was there growth and you guys lost share because of the AIC conversion? Or kind of any thoughts there would be great.
Ronen Samuel: Thanks for the question. Look, the market is shifting. Market is really changing. We are talking with many, many brands, retailers, demand generators. They're all talking about in any boardroom talking about how they can stay relevant. Product life cycle is getting shorter and shorter, changing by the minute. And the way that they were focusing in the past and producing in the past is not remit. And we see it in life. We see brands and retailers and demand generators moving production, nearshore and onshore, talking about how can they produced closer to the consumer without excess inventory, how they become more sustainable, how they can become more relevant by bringing new products to the market. And it's a clear change that we see. We see some leading brands. And I mentioned Zumiez that the way that they change the fully move to vertical production. And we see more and more retailers and brands starting to move to on-demand production. This has become a necessity. This is not any more a discussion like what was in the past. And of course, tariffs and the minimums really pushed even further the move to onshore production. We see it also within our customers, they are gaining volume, which reflect in the impression volume. So overall, the trend is very, very clear. It's being now accelerated. It's obvious that fashion industry, apparel industry is going to change. It's going to change dramatically. How fast is very difficult to forecast. But now with necessity, this world is moving to digital, like many, many other industries that we know that move to digital textile and fashion is not exceptional.
Troy Jensen: All right, understood. Assaf, just for you, just to follow up on the cost question, too. Non-GAAP OpEx was $27 million. Would you assume that it's that number or higher going forward on a sequential basis?
Assaf Zipori: I would say that you should not expect any significant changes as we move forward. Obviously, we have a certain exposure to FX. We also hedged. So the exposure is somewhat contained. We are also well positioned. And in our plans, we've assumed that FX would remain at reasonably similar levels to what it is today. So I would not expect any material changes.
Troy Jensen: Okay. If you look at just in the model, too, on that FX, was that all kind of in the R&D? It looks like that had a big sequential growth.
Assaf Zipori: It's mostly on the operational side. We have a significant team in Israel that is being paid in the local currency, not necessarily just R&D.
Troy Jensen: All right. Understood. If I could get one last question. You guys kind of mentioned cash and use funds and inorganic opportunities. What types of like applications or technology, Ronen, do you think you guys would be interested for you guys to absorb?
Ronen Samuel: Yes. So in general, we need to wait to see in Connection. I expect to see you at Connection because we are going to have a lot of unwilling new technologies. I'm going to say that it will be across the board. It will be on the direct-to-garment. It will be on the roll-to-roll. It will be on workflow. It will be on new application. Think about it. Kornit was always in the decoration area. We will continue to bring innovation on the decoration, but we are taking it to the technical area as well with new capability, with new chemistry, with new processes. We are taking it to the functional area after the technical, and you will see some tractional revolution that we are bringing with our technology and even to the smart area, smart apparel, but you will see some innovation at Connection. Overall, it will be a breakthrough capability that we are bringing. It will be unique. We are the only one what we are going to present in terms of technology and innovation. We will be unique in the market. We will approach new market segments. It will be a major differentiator versus other things that you can see in the market. Specifically, I'm going to say that there will be a lot of focus also on the sports market and sports innovation at the event. So other than that, again, I welcome all of you to join us. It will give you the opportunity not only to see the technology, but to interact with many of our customers, prospects brands and retailers that will be there and major brands that will be there and they tell the stories. So you're all welcome to join us.
Operator: Next question is from Jim Ricchiuti from Needham & Co.
James Ricchiuti: I was wondering if I can get an update on the direct-to-fabric market. I'm assuming that was probably a more challenging area of the business. In 2025, it sounds like you're looking to introduce some new products into that market. How do we think about that and the timing? Is that second half '26? Or can you give us some color on that?
Ronen Samuel: Yes. So indeed, 2025 wasn't a great year for the roll-to-roll business. We had higher expectations. What I can say is that we are starting the year with much stronger pipeline, first of all, with a tangible pipeline that we can convert and we feel much more confidence. Now this confidence is not only about the pipeline. It's also about the new market that we invested in 2025, specifically in the footwear market with new players that are entering this market. Part of this innovation you will see in Connection, again, about the footwear is revolutionary what we brought to this market, and this will continue to expand. On the technical market, we are getting to new market segment on the technical, and you will see some innovative applications there and the functional in the sports market, which there's some big news that hopefully will come later this year, working with some the biggest brands of the world on functional apparel that it all relates also to the roll-to-roll business. We are going to unveil some new technology, both in terms of the systems but also in terms of the process chemistry, but also some features that will enable our customers to enter to new applications, very innovative applications that till today, traditionally, was done by analog and digital can do it much faster, much better with unleashing the flexibility and better economics. So we are much more confident that 2026 will be a year that we will start to see a very nice growth on the roll-to-roll business. And definitely, late second half of the year and getting into 2027, this is where we would expect to see acceleration in this market.
James Ricchiuti: Can you talk about the -- there were some targeted price increases, I think, that the company called out in the last earnings call. Were those fully realized in Q4? Or will there be some benefit from that in the early part of 2026?
Assaf Zipori: So this is a gradual process that the company is evaluating and executing. I think that we remain committed to the guidance that we've given and everything is reflected within that guidance. So yes, that's...
Ronen Samuel: Yes, I would just say, as we mentioned in the last call, we implemented a small price increase to our installed base due to the tariffs. We already implemented it, and we are running it at the beginning of the year. Overall, the market received it with fully acceptance, and we are running and it's baked into the model.
James Ricchiuti: Okay. And one last question, just a quick one. In '26, would you expect more activity with new customers or just greater multiunit deployments with existing given some of the traction you saw with new customers last year?
Ronen Samuel: It is a mix. We -- as I mentioned, in 2025, 40% of dealers were with new customers. Almost every one of them, we expect to grow in 2026. So it will be repeated itself on top of some of our key customers that continue to grow if it's for upgrade, if it's for additional systems. But our focus is, of course, on penetrating the screen market and penetrating in the roll-to-roll into new markets. By definition,  penetrating to the screen market and the roll-to-roll mostly will come from net new customers. So we expect many net new customers adding into 2026. And of course, later on, each one of them can take multiple systems.
Operator: Next question is from Chris Moore from CJS Securities.
Christopher Moore: So obviously, the shift to AIC slows the revenue growth near term, talking about low single digits today. Given where you sit and the pace of progression on ARR, likely 2 to 3 years before that annual revenue growth starts to pick up? Or just kind of any thoughts on how you're looking at that?
Ronen Samuel: Yes. So first of all, look, the ARR by itself is $25 million ending this year is a major milestone. It's starting to be also significant in terms of revenue per quarter, and we ended the year with $50 million of revenue. This revenue has higher -- is accretive in terms of gross margin to the mix of the gross margin. And we expect that this growth margin will expand as the program will continue to grow. So it will have a major contribution both in revenue, gross margin, but the predictability is very important. Each one of those deals usually is being signed for 5 years commitment. So we have 5-year horizon of those deals. So with a clear commitment. And the ARR that we are reporting is the minimum commitment on the contract. Of course, customers can print more impression and deliver additional. So this is a significant milestone. Now we believe that we will start seeing a faster growth in the top line revenue once the AIC or the ARR will reach around $50 million. So now we are at $25 million. When we will reach to the $50 million of the ARR, the AIC revenue will be such so significant that we will start to see acceleration on the top line versus where we see today.
Christopher Moore: Got it. That's helpful. What about -- from a geographic standpoint, geographic mix, do you expect your revenue to be much different 2 to 3 years from now?
Ronen Samuel: No. We still see the fastest growth in the Americas, specifically North America. While it's the largest territories and work in revenue, it's also the fastest growing territories for us. We see that EMEA is catching up. And now with the new technologies that we are bringing both on the DTG and the roll-to-roll, we expect to see some acceleration in Asia, specifically around the footwear, specifically around the sports market and technical market. But in the next 2 to 3 years, Americas will continue to lead and probably will continue to be the fastest-growing region for us.
Christopher Moore: Got it. Helpful. Last one for me is just are you hearing anything in terms of competitors looking to create similar AIC model?
Ronen Samuel: We have some rumors. We have competitors saying that they can provide it as well. Tangibly, we don't see it. We think that it will be very difficult for them from a cash flow perspective to go forward with it. This is -- AIC is not just a financial model. It's a change of DNA. There's a ton of tools around it. There's a lot of AI to support it. There's a change of the entire mindset of the service organization and support and customer success. We are much stronger today as a team, as an organization, in terms of ways that we are supporting our customers. We're getting great feedback on the TCE reports for our customers about the way we're supporting them, that we are much more proactive. This model forced us to be in partnership with our customers only when a customer is being successful, we are successful. When they are printing more, we are earning more. So it's holding hand together. We don't see this capability from any other company in the market, and we don't see it as of today. We might see it in the future.
Operator: The next question is from Tavy Rosner from Barclays.
Tavy Rosner: I wanted to welcome Assaf and welcome back, Andy. It's great to have you back with the company. Two very quick ones. Most of them have been asked. I wanted to ask about footwear. How do you see the market as an opportunity? And what are the solutions that Kornit had to address the opportunity?
Ronen Samuel: Tavy, great to hear from you again. And the footwear is a new market for Kornit. Kornit is the only company that's innovating in the footwear in the digital space. I can tell you that we had major meetings with some of the leading sports brand around the world, and they are super impressed with the capabilities that we are bringing to the market. We're actually enabling the footwear, specifically the sports footwear to become -- to unleash the creativity to produce any type of footwear in terms of design without the limitation of quantities. You will see it in Connection. You will see the type of design that we are creating and the things that being sold today, there are more than 1 million pairs of shoes that are already being sold today in the market. And in terms of market opportunity, we believe the opportunity in front of us is something like 2 billion impressions in this footwear that we can capture. We see consistent growth within my customer, both in terms of utilization of the system, the production, but adding more capacities and our funnel and pipeline is getting stronger and stronger.
Operator: There are no further questions at this time. I would like to turn the floor back over to Mr. Ronen Samuel, CEO, for closing comments.
Ronen Samuel: Okay. So thank you. And before we close the call, I really want to thank, first of all, the entire Kornit team, also, our customers, the partnership that we have with customers and all the partners that help us to make 2025 a year of many achievements. While there are certainly more work to ahead, we are very much focusing on the work ahead. I'm truly excited about what we have accomplished as a team together in 2025, and I'm really looking forward for 2026 into those areas that I mentioned in the call. I would like to thank for all your support and being on this call, and I would like to remind all of you that we are looking forward to see you at Connection in April. It will be a milestone event and there will be Kornit before and after. So looking forward to see all of you. Thank you very much.
Andrew Backman: Great. Thank you, Ronen. Thank you, Assaf. And thank you all for joining us today. As always, please reach out to me directly should you have any follow-up questions. And as Ronen said, we are looking forward to seeing everybody at Connections in April. Sati, can you close the call, please? Thank you.
Operator: Certainly. This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.